Duncan Minto: Good evening. Welcome everyone to Renault's third quarter conference broadcast live and replay versions on our websites. The presentation file and press release for this call are available on our website in the finance section. I would like to start by pointing at the disclaimer on slide two of this pack regarding information contained within the documents and in particular by forward-looking statements. I'd like all participants to read this. Today's call is scheduled to last 45 minutes. We have two key speakers this afternoon. First up Mr. Jérôme Stoll, EVP, Sales and Marketing and leader of the Europe region. He will start with the review of commercial activity. That will be followed by Mr. Dominique Thormann, EVP and CFO, who'll present the Q3 revenues. Presentation should last 20 minutes and will be followed up by Q&A session. We don't have time to take everyone's questions in this session. Myself and Alain Meyer will be right to take your calls later on. Without further ado, I will just in fact pass the call over to Dominique Thormann, who has a couple of opening remarks.
Dominique Thormann: Thank you, Duncan. Good evening everyone. Before diving into the numbers I would like to make just a few opening remarks regarding two financial events that occurred since we last spoke in July. The first of these took place on September 10th when we proceeded with the early reimbursement of a billion euros of the 3 billion euro loan from the French state taken in April of 2009. Now it's clear that back in 2009, this loan was welcome, it was very welcome. At the time when the financial markets were disrupted and access to liquidity was rare. You are all aware that the interest rates associated with this loan are high compared to today's markets. In the first half of 2010 with our performance clearly back on track and together with a more stable and liquid financial environment, we were able to start reducing the most expensive part of our funding. Renault's cash flow generation has considerably improved since the peak of the crisis and faster than most had forecast, allowing us to start to take the necessary actions to improve and strengthen our balance sheet. The second step towards this improvement required more of a break in order to fulfill the short-term objective of reducing net automotive debt to below €3 billion on October 7th we disposed off our entire holding in Volvo B shares for €3 billion and thus achieving that objective. These two events have contributed to the strengthening of our balance sheet, prepare the Group for the post crisis period and helping through the transition. The liquidity situation of Renault is clearly reinforced and with lower net debt we have returned to a more normalized condition. However the conference call this evening is more focused on our commercial performance in the last quarter so without further ado, I will pass the call over to Jérôme to take you through the details of our sales results. Jérôme?
Jérôme Stoll: Thanks Dominique and good evening everyone. My part of the presentation will focus on commercial performance in Q3 alone. In the annexes, you will find the same slides on a year-to-date basis, for your information. So, let me start on slide 3, with TIV evolution by region. First in Europe, the market declined by 11.5% due to a high comparison base in 2009 when deliveries on scrappage incentives were at an all time high. However the level of European market in Q3 was better than expected, leading us to improve our forecast on the full year evolution from around minus 7% to minus 5%. Thanks to the Russian scrappage scheme implemented in March, the Eurasia market increased by 40.1%. The Euromed market was positive at plus 11.8% with a very dynamic Turkish market at plus 28.2% versus Q3 2009. Americans, Americas posted 14.1% increase with a strong increase of the three largest markets in the region, Brazil plus 6.8% Mexico, plus 12.2% and Argentina was an incredible 32.3%. And for Asia/Africa, Asia/Africa is still the TIV gross in the world with plus 11% which represents an increase of nearly 800,000 units versus Q3 2009. China obviously increased by 14.1%, Japan by 14% and India by 7.3%. In conclusion, global TIV increased by 4.6% in Q3 2010 at plus around 750,000 units. If we turn to slide four, we can see the evolution of Renault Group sales next to that of the TIV for its region. In Q3 2010, Renault continued to out perform the market and increase market share in Europe, in Americas and Euromed or Russia and Asia/Africa market share was (inaudible). Group sales grew by 5.7% in the third quarter driven by double digit growth of sales in each region outside Europe. On the next slide number five, you can see the evolution by region and number of units. Renault Group sales amounted to 592,000 units in the third quarter with a mix of 42% in international regions. International sales continued to grow at a strong base at plus 22.8% of which plus 41.3% in Americas plus 37 in Russian plus 11.3 in Euromed and plus 10.4% in Asia/Africa. In the same period, Group sales declined by 4% in Europe, nevertheless at a slower pace than TIV. I would like now to take a closer look at the market share gains on the next slide. I am sure you will all recognize this slide showing the top 15 market for the Group representing more than 80% of our global sales. The first point is that more half of these markets are in our international regions. The second thing to note is the market share evolution compared to Q3 2009 which you can see on the right hand side of the slide. During Q3 2010 Renault continued to grow in 12 out of its 15 main markets. I would like to review the three markets in which we lost share. First, in Germany. In Germany Renault Group market share decreased by 0.5 points due to a high comparison basis in 2009, the peak of our deliveries of the order bank taking on scrapping incentives. In Korea, we continue to benefit from our product range with the new SM3 and new SM5 but the key local competitors launch a product offensive in the last quarter as well as highly competitive pricing recently explaining our loss of market share of 1.6 points. In Russia, where the market share decreased by 0.6 points, we had to curb with the production capacity constraints in a blooming market. Moving from the losses to the gains, I would like to focus on the few key international markets. In Brazil, Renault has broken through the 5% market shares level in Q3 thanks to the good performance of Sandero, Logan and Clio 2. In Turkey, the fifth market for Renault in Q3 grew market share increased by 1.2 points on the back of a stronger performance in the B and C segments. Algeria is a good example also of the Renault's strengths in Maghreb, with a leading market share at 26.9% in Q3. Now I propose to resuming on the European market representing 58% of our sales. I will not remind you of the level of rebates, and prices announced by competitors during the months of September, just to say that the environment was changing. In this environment, market share for Renault brand market reached 8.5% at plus 0.6 points versus 2009 whereas Dacia brand continued to show a strong performance at 1.6%. As a reminder, Q3 is always seasonally lower as you can see on the graph due to our exposure in the UK market. On slide 8 you can see the evolution by segment is thousand of units. In the A segment, sale decreased by 9,000 units but our second share increased by 0.4 points. In the B segment, where the scrapping incentives impact were the strongest for the Group in 2009, especially with Clio, Sandero, Renault and Dacia lost segment share in a very competitive environment. Group sales increased in the C and the LCV segment, and outperformed the market. I will illustrate the momentum with two examples, LCV and Dacia on the next slide please. You can see on slide 9, LCV is a real strength for Renault. Above and beyond the fact that we are number one in Western Europe, emerging markets are well represented in the top 15. Turkey, Argentina, and Brazil are already key LCV markets for Renault. Renault is winning market share in the LCV in 12 out of its top 15, thanks to a wider LCV range with the stretch Kangoo called Kangoo ZE, Trafic Phase 3 which saw significant improvement in CO2 emissions and the new master which is just starting to show an impact. The launch of the rear wheel drive version is a major advantage to increase our coverage of the top end of the segment and improve sales of converted product. Duster, on the next slide, the latest model of the entry range is already a blockbuster for the Group. The order backlog means that the average customer waiting time is more than four months. Despite an entry price advertised at under €12,000, the average price paid by customer is over €16,000 in Europe due to a very strong mix. 90% of versions sold are in the upper end of the mix leading to a very solid profitability for the Group. Launch in Europe in April this year we will sell around 70,000 units in 2010. This figure should be more than double in 2011 as the vehicle will be installed into the factories in Brazil mid 2011 and in Russia at the end of 2011. Next slide please, on this line you can see our passenger car and light commercial vehicle order book in Europe for the Group. In number of units, the book has increased compared to the first half of the year but remains relatively stable during the quarter at a comfortable level of 1.6 months of set. As you can see despite the reduction of scraping incentives, Dacia's book level remains high as the reduction of Sunday orders has been more than compensated by the Duster. As usual, I will conclude my part of this presentation with the evolution of our new car inventories on the slide 12. As you can see on this chart, the physical inventory on our balance sheet remains at a very controlled and balanced level at 184,000 units for the Group inventory. It will include the inventory held at the independent dealer level, the total is 360,000 units. In number of days of sales based on the sales of the previous quarter, the stock represents 56 days of sales inline with the last quarters if we consider the traditional lower sales seasonality in Q3. Before leaving the floor to Dominique, I would like to summarize the three major points of our commercial performance in this quarter, third quarter. First, market share increased in the groups level in Group's key markets. Second, international sales continued the strong growth seen in the first half of the year. And third, the European contest and is getting more aggressive and we are defending our market shares. Thank you for your attention. I'll hand the floor to Dominique.
Dominique Thormann: Thank you, Jérôme. Let me start on slide 13 with a review of third quarter revenues. On a consistent basis, Group revenues increased by 7.6% to €8.7 billion. The restatements by division for the previous period are detailed at the end of the slide pack, but the total amount in the quarter was minimal at just €4 million. In the third quarter 2010 the contribution from the automotive division increased by 7.9% and the contribution of sales financing increased by 1.1%. I will start the analysis with a review of the automotive division on slide 14. Automotive division revenues came to almost €8.3 billion in the third quarter of this year. As you can see on the graph on the left hand side of this page, 2010 revenues are above those of 2009, and they are in line with the traditional summer seasonality. On the right hand side of the page we show you the contribution to the change in revenues for the first half broken down by item. The first item, volume, shows a negative impact of 0.6 points. Now earlier in the presentation, Jérôme showed you that global registrations increased by 5.7% in the quarter, however, wholesale invoices increased by only 1.7% as we lowered inventory at independent dealers as you saw on the slide he commented, page 12. Negative geographical mix accounts for minus 2.3% as invoicing decreased in Europe where the revenue per unit is higher than the Group average and increased in international regions where the revenue per unit is lower. The second item to note is mixed price. The increase in that revenue per unit saw a positive impact accounting to 2.9 points of the total change in revenues. This number results from two effects acting in opposite directions. Mix was positive accounting for 4.7 points, and however, net pricing was under pressure resulting in a negative impact of 1.8 points. The third item is foreign exchange, which in Q3 continued to have a favorable impact of 4.1 points. This comes from a basket of various currencies and is very much in line with the trends that we saw in the first half of this year. The final item in the list is entitled other activities, and this represents mainly the sales of parts, components and built-ups through third parties. This contributed positively by 1.5 points. I will now move to slide 15, commenting our CIS commercial performance. Now as you know, revenue is a not a good indicator to measure the performance of a bank as it's more linked to the level of interest rates invoiced than the margin obtained. With this in mind, revenues increased by 1.1% in the third quarter of 2010, compared to the third quarter of 2009 due to the increase in the average outstandings. The average loans outstanding increased by 5.2%. The number of new contracts written in the quarter fully increased by 11.2% versus quarter three of 2009, mainly as a result of high penetration rates by RCI in the sale of alliance brands. RCI has once again displayed a robust performance in all areas of its business and I am sure that it will again be a very solid contributor to the Group's financial results. With the review of revenue's over, I will now turn to the last slide before the question-and-answer session and comment the outlook for the end of the year. The first of our assumption is on passenger and the light commercial vehicle market. We see global total industry volume in 2010 coming in at 69 million units, up 9% compared to 2009. The European TIV is on track to come in at minus 5%. With visibility now improved, albeit at an unstable environment, the full year guidance of positive free cash flow can now be confirmed at €700 million. While market conditions have been competitive in the last quarter, we have achieved share gains leading us to a forecasted global volume for 2010 of more than 2.5 million units. That concludes my presentation, and together with Jérôme we will now take your questions and so I will hand this call over to the conference operator. Thank you.
Operator: (Operator Instructions). We have a question from Mr. Thomas Besson from Merrill Lynch. Sir please go ahead.
Thomas Besson - Merrill Lynch: I have two questions, please. Firstly, on RCI Banque, you've commented saying that we should expect it to be a solid contributor to Group results in H2. And typically, the seasonality goes for a slight decline in contribution. Is there any reason why it should be more than €50 million this year, H2 versus H1, please? Second question is on Duster. You have mentioned the outlook for this vehicle. Could you comment on the average selling price you get for the vehicle so far, and is it right to think that Duster is the most profitable car in your range? Thank you.
Dominique Thormann: Thomas this is Dominique I will take the RCI question. Today we are not commenting financials as you know. You are right to point out that there is a seasonality in RCI's earning pattern which is stronger in the first half than it is in the second half. I expect that pattern to repeat itself this year but I am not in a position right now to put a number on that. And I'll hand over to Jérôme for the question on the Duster.
Jérôme Stoll: So, Duster, first of all it's a new product in the Dacia range in the entry range and I think that most of our customers were expecting this product. So the trend that we have with Duster is just an industrial constraint because it is definitely the success was much more higher than what we expected at the beginning. As of September of this year we have already sold 35,000 units. We expect to double this volume by the end of the year. We are now adding more production capacity in order to cope with this high demand with said the order bank is around 2.4-2.5 months of sales which is far above the average coverage of the Group sales and in terms of price, it's true that our customers are taking more equipped version than in the range that we are offering. As I said, the average price is around €16,000 to €17,000 which makes this product really very profitable, but as you know, the entry range is rather profitable and it confirm the good position of this product.
Operator: We have a question from Mr. Gaetan Toulemonde form Deutsche Bank. Sir please go ahead.
Gaetan Toulemonde - Deutsche Bank: Dominique, you mentioned a free cash flow of 700 million this year. What kind of assumption or working capital do you have put in these numbers or behind this number?
Dominique Thormann: It's the forecast that we're making tonight is, its not just an assumption on working capital and obviously we are giving you a number which is consistent with the production rates, the sales rates, the stock levels and other items that are going to hit the free cash flow generation. I think that as you know, the sequence of events this year has been, we started in February, we gave you guidance for the full year which was to achieve a positive free cash flow for the year, we came in at the half year clearly in the black so we had a positive first half, we were concerned at that time about the second half of the year particularly in Europe where we saw a risk to lower sales particularly in the countries that had ended the scrappage incentive. So, we were cautious at the half year and we told you we'd come back with a bit better visibility at the end of the quarter. So, the number that I'm showing you today results from that. It results from what we have seen in Q3 and where we are running right now in the last quarter of the year, there are 2.5 months left. You know that working capital can move very quickly in the back half of the year, so clearly the number that we are showing you today is balanced and taking all of those factors into account.
Gaetan Toulemonde - Deutsche Bank: I do understand, but you cannot be a little bit more precise, in the first half, it was positive €300 million. You reversed totally in the second half that amount or is it worse than that? Can you help us a little bit to get a better idea?
Dominique Thormann: In the first half there was a big release in working capital and that's something that you are not going to see in the second half. And that's just kind of normal, just given where production rates are and where the level of sales are right now. So, I'm not going to give you a number tonight, but clearly working capital is a drain in the second half.
Gaetan Toulemonde - Deutsche Bank: Two other quick questions. International business has been pretty stronger recently. Do you expect to maintain such 20% growth in the fourth quarter?
Dominique Thormann: The 20% growth in international sales?
Gaetan Toulemonde - Deutsche Bank: That's correct. 
Dominique Thormann: Okay, then that's a question for my friend Jérôme.
Jérôme Stoll: For the last quarter, it's clear that there is two reason why we should confirm the international growth are the international part of in our sales. So, first is obviously the declining European market and secondly, the booming on the rest of the world where we are rather most successful especially in Brazil, Russia and we come from the 42% of international sales for the rest of the year.
Gaetan Toulemonde - Deutsche Bank: Last question, I was still a little bit lost about the 6% volume increase in registration and the almost minus 1% in the revenues. I do understand the de-stocking effect but I'm still a little bit lost by the difference. Can you repeat that again?
Dominique Thormann: Okay, so let me do a better job this time around. We de-stocked, right? So, vehicles that were in dealer inventory were sold in the period. So, that's something that you're not going to have in revenue because it was already taken in the prior quarter. And therefore on the wholesale invoices, rose by 1.7%. Okay, now if global registrations are up 5.7% I have got to explain the difference to get to my minus 0.6. To get there, Jérôme showed you round numbers right? An increase of around 9,000 units. That 9,000 unit increase results from a drop in European registrations which outpace the increase in international units. The revenue per unit in European sales is higher than the revenue per unit in international sales. So, when you take the volume by the revenue that you generate on your unit sales, minus your de-stocking effect, the impact is negative by 0.6.
Gaetan Toulemonde - Deutsche Bank: Okay, so in unit sales you factor a mix impact.
Dominique Thormann: If you want to call it that, it's a geographic mix.
Operator: We have a question from Mr. Thierry Huon from Exane BNP Paribas. Sir please go ahead.
Thierry Huon - Exane BNP Paribas: Two questions for you tonight. First, Dominique I don't want to ask you to be too specific on the free cash flow guidance, but following the question from Gaetan, I would like to know if this 700 million you are mentioning for free content, including by cash flow tonight is in line with what you had in mind at the beginning of the year, or at the end of H1, or this is an improvement from what you had in mind? Could you answer to this question?
Dominique Thormann: Our guidance in February was to be positive kind of zero plus, so compared to where we parked at the end of the first half, what was lacking at when we spoke to you in July was visibility. I mean there is a lot of volatility. Don't forget at the end of July we were barely out of the Greek crisis and the euro was trading 20% below where it today. You have currencies swinging in all directions which do impact the conversion of your balance sheet items and they can be very substantial. And where we are today, clearly with the third quarter that's out of the way now, we have better visibility only because the time factor is short right, and we only have three months left and that allows me to say that we'll come in at 700. So the sequence is yes, it's an improvement from where we started the beginning of the year, I think that had we had better visibility at the end of the half year, we probably would have given you roughly the same number.
Thierry Huon - Exane BNP Paribas: Okay, that's clear. And should we take this number as a cautious one or it's what you have in mind today?
Dominique Thormann: That's what I have got in mind today. Yes.
Thierry Huon - Exane BNP Paribas: Okay. Second question. Jérôme mentioned during his presentation that LCVs are doing very well in emerging markets. Could we expect to have the same kind of profitability in emerging markets for this type of vehicles, are the one we used to see and we still expect to see in Europe?
Jérôme Stoll: Basically yes, obviously in Europe we are very strong on the French market where our profitability is a little bit higher. But the global average in European markets are in comparable to international market, but in terms of mix, I do expect that this global profitability may slightly increase because we have a mix effect with the ramp up of the master especially with the upper version and the (inaudible) version which covers a part of the market where we are not before and so I do expect that we may gain a little bit from that.
Operator: We have a question from Mrs. Kristina Church from Barclays Capital. Madam, please go ahead.
Kristina Church - Barclays Capital: Oh. I've got a question, just coming back to the pricing and your price mix book that you said was minus 1.8%. I was just wondering what you're seeing, so looking forward into the fourth quarter, and maybe even going into 2011. You're talking about a tough commercial environment. Is pricing still as big a worry as you were talking about at the first half results, and is it coming from competitors as well? And also, on the Ford call yesterday, when they were talking about their European markets, they were talking about a lot of self-registrations that were happening among competitors at the end of the month. Is this something that you've seen happening among the market as a whole? And then my final question is coming back to the free cash flow guidance. I'm just wondering if you could remind us. I think at the first half results, you were talking about CapEx levels being double in the second half of the year, what they were in the first half. Is that still within your guidance for the 700 million positive free cash flow?
Dominique Thormann: Okay let me take the CapEx question. There's seasonality, you're right. The disbursements actually are greater in the second half or higher in the second half than they are in the first half. That's also something that lands in free cash flow. Okay you're right about that and that was anticipated and that's just the pattern of when spending actually occurs once decisions are made on investments. The pricing discussion, look we've been, we commented at the half year and our CEO Patrick Pélata highlighted this as a concern. He was right to do so and you are reminding us of that today. Yeah, September I mean the quarter was tough and it didn't improve as the quarter went on. So it's something that's out there and that part of it was expected, then it's a degree of magnitude and this quarter, the end of the third quarter was particularly tight now. Maybe Jérôme can add some color to that, but it's certainly one item that we are calling out tonight. Yes.
Jérôme Stoll: Yes definitely the market is tougher than it was previously. You have an evolution of the structure of the market especially because at the end of scrapping incentives which affect the structure and when you look at some major European market for instance let's say France. The retail part of the market in France decreased by 13% of this first nine months. In Germany, where the retailer was really benefiting the market (inaudible) from the scrapping system. Obviously this year, the retail part of the market decreased by almost half of it, so its clear that you have a structure effect of the market which bring us to have an increased volume of sales in the channel of fleet and corporate for instance where the price might be a little bit lower. So this is an evolution but regarding the price war, if you want to name it as that, like that. We are very following carefully this evolution. We don't want to be a price leader in this market. We are strictly following the evolution for competitor’s position as through what we call the created price which is a tool with which we are working and the viable marketing expenses that we are using. We don’t want to price leader, we are just following that in order to be competitive enough, not to lose too much market share because we want to keep our customers and trying to conquer, a new customer costs more that retaining it. So, it’s clear that we will follow carefully on our position and follow the competition accordingly. Regarding the self-registration, because it was the second question that you had, we don’t have so much self-registration. We may have part in part of the euros, some increased but going down in the rest of the year because we are strictly following this evolution and we don’t want to come back to what we used to do some years ago, because we are now refocusing on the value of the brand and we think that this may effect the brand value. So, we are following that. It’s true that in some markets like for instance, Germany, self-registration might be higher than in other market, but it’s a structural position I would say of the market and of the car makers.
Operator: We have a question from Mr. Philip Watkins from Citigroup. Sir, please go ahead.
Philip Watkins - Citigroup: And just a follow-on to that, to the question on the pricing, so the Q4, it's likely that could be worse than 1.8% decline? Is that the inference from what you were saying?
Dominique Thormann: No, not necessarily. I think we told you at the half year that pricing was somewhere in the vicinity of 1%. We saw 1.8 at the quarter, so clearly Q3 was a bit more than what we had seen in the first half of the year, but no, we are not putting a number on that and its something that you know after the fact, I mean you are in the market and pressure as Jérôme said is there, but we are not giving you particular guidance on that number tonight.
Philip Watkins - Citigroup: And if I just could ask this, completely separately, on the €3 billion that's been raised from the sale of the Volvo stake, is that being invested in money market instruments now, and could it be available, I presume, to repay the remainder of your state loan in April or May?
Dominique Thormann: It’s part of my liquidity position, clearly. It’s not the only part of it. I mean we have a treasury manager, a complex balance between borrowings. We’ve got outstanding bonds, reimbursements, et cetera. So, its part of our liquidity position which was good before the disposal and is obviously 3 billion better than it was the day before.
Philip Watkins - Citigroup: Where would the coupon on the loan go to in April, based on how you're perceiving your performance? So I guess there must be an incentive to repay that, if you can?
Dominique Thormann: No, it’s calculated in arrears and it’s a function of our operating profit number. So, you don’t know that until we disclosed our operating profit, and you’ll know that in February.
Philip Watkins - Citigroup: But the repayment of that loan in April-May must be something that's becoming more attractive now, I guess?
Dominique Thormann: We’ve clearly singled it out as being it was a priority item in 2010. Bear in mind though that we were not allowed to reimburse it because the loan documentation didn’t provide for early reimbursement at the time it was booked, but the structure of the loan was indeed built for a reimbursement before the term which is in 2014. So it was structured that way, but no one expected that it would be repaid that quickly, when we did so in September.
Philip Watkins - Citigroup: It could be repaid in May, next year, couldn’t it?
Dominique Thormann: Indeed it could, yes.
Operator: We have a question from Mr. John Buckland from MainFirst. Sir, please go ahead.
John Buckland - MainFirst: Going back to the volume geographic mix impact, when you do the walk between revenues and when you compare that with what happens in the breakdown of impacts on operating profit, there’s often a big difference, either through content, et cetera. Will this geographic mix impact make a significant difference to how we see the profitability coming through? Perhaps in the opposite direction to what's happened on the revenue side, given the tough European markets?
Dominique Thormann: If it's negative to revenue now, the answer to your question is more complicated because it's going to depend on sourcing and the international units aren't necessarily the same as the European units. So, I can't answer, there's not a quid pro quo straight line. You can't just do the arithmetic that way, but clearly its negative to revenue and that’s what we are commenting tonight.
John Buckland - MainFirst: I wondered whether actually while it's negative to revenue conceptually, it could be positive to profitability because some of those units sold in Europe may have a high average price in Europe and in international markets, but those ones are less profitable than the Dacias and (inaudible) of this world.
Dominique Thormann: Well, I wouldn't underestimate profitability on our entry cars though.
John Buckland - MainFirst: You wouldn't underestimate it?
Dominique Thormann: No.
John Buckland - MainFirst: Okay. I thought that the entry levels of Renault cars were loss making.
Dominique Thormann: What would be loss making?
John Buckland - MainFirst: The entry level of the Renault brand cars.
Dominique Thormann: No. Once again we’ll give a clearly more detail, I mean we are not giving anything on profit today, and segment profitability is something that we’ll discuss at the full year.
John Buckland - MainFirst: And on the environment, there seems to be quite a contrast between the performance and the view of the market from say, Volkswagen and you guys. While they appreciate there is a competitive market and it's getting a little bit worse, they still seem to believe that they are gaining market share without being too aggressive. And then the fact is, there's attractiveness, and then their new model ranges has enabled them to sell more and gain market share and improve their profitability. Can you compare and contrast your two experiences? On the crux of it, where's the problem?
Dominique Thormann: I don’t know, I didn’t listen to their call and I don’t know what guidance they gave you, but I mean sequentially, if you are looking at Renault now compared to where we were a year ago or two years ago, I’d suggest there is improvement on all fronts. You’ve got better cash flow, you’ve got a better bottom line, you’ve got a better operating line, you’ve got better top line. So, I'll take that. You can always do better and clearly that’s what we need to do if we look to the future, but I’d suggest that there has been a marked improvement on our side.
John Buckland - MainFirst: I'm really thinking about the fact that you seem to be seeing the better environment in Europe now, and much worse than some other guys do.
Dominique Thormann: I don’t know what your point of comparison is in terms of what the worse is, we are telling you that we are going to, if you look at my guidance today, the European market were calling it down less than where we were just three months ago. The global market is higher than where we were three months ago. Our Unit sales are going to be higher than what we told you three months ago and certainly much more so than where we were at the beginning of the year. So, it's relative to the tone that’s been said. I think what we are telling you right now is what we feel is balanced and reasonable. Maybe just take one last question. We've already run over but we’ll try and squeeze one more in.
Operator: We have our last question from Mr. Schneider from HSBC. Sir, please go ahead.
Horst Schneider - HSBC: Just one question left from my side. I saw yesterday on Newswire that Carlos Ghosn made a statement with regard to the 2011 market outlook, and he said that we should expect no growth in Europe for 2011, and I think he also said that H1 2011 will be weaker than H2, which contradicts in a way, to what Peugeot is stating. They say that especially in Europe, Q1 might be stronger than Q2 due to the fact that you have got still deliveries in France from the scrappage schemes, which isn't phasing out. So maybe you could give us some more color on that, what was said yesterday, and what are your expectations for 2011? And what is the tradeoff between H1 and H2? Thank you.
Dominique Thormann: H1 and H2 of 2011?
Horst Schneider - HSBC: 2011, yes.
Dominique Thormann: That’s something we'll discuss in February. We'll give you very precise guidance about where 2011 is going to land. But the comments made by the CEO, I mean Jérôme, if you want to comment where you are seeing kind of the preliminary numbers.
Jérôme Stoll: How we see the market for next year, globally speaking, is an increase of around 2.8 to 3% in the worldwide market, in the world TIV. For Europe, we see something around minus 1%, but with higher impact on France, because of the end of the scrapping systems. What we call the gForce would be rather balanced than zero where we expect Germany to be higher and the rest of the three main markets to be lower than 2010, and the rest of Europe should be a little bit better than 2010, especially because as you know, the majority of the rest of the Europe we are not enjoying scrapping system before so they don’t have the exact effect of this scraping system and therefore they are taking a little bit more benefit from a slight recovery of the European economy. So all-in-all, the growth will come once again from rest of the world, especially in our expectation from Russia, where we expect the market to increase by something around 30% so it shows a big increase. America should increase again with Brazil, and so once again we should expect volumes coming from the international markets where we are developing our strategy now.
Horst Schneider - HSBC: Can I add a follow-up question?
Duncan Minto: If it’s quick
Horst Schneider - HSBC: It's quick, yes. With regard to the international sales, I see the positive impact on revenues from that, from currencies. To which extent is the positive currency effect also feeding through to profitability?
Dominique Thormann: How much of the effects is flowing through to profit, is that the question?
Horst Schneider - HSBC: Yes, in a way. Yes.
Dominique Thormann: Today, the only comment we made is on revenue. So, the currency impacted revenue by 4.1% and that’s what I am saying tonight. That’s all I am saying tonight.
Duncan Minto: Thank you very much. That takes us to the end of the conference. Once again, if you have any follow-up questions, please feel free to contact either myself or Alain Meyer. Thank you. Bye, bye.
Operator: Ladies and gentlemen, this concludes the conference. Thank you all for attending you may now disconnect.